Operator: Good afternoon, ladies and gentlemen, and welcome to the Zumiez, Inc. Third Quarter Fiscal 2013 Earnings Call. [Operator Instructions] Before we begin, I would like to remind everyone of the company's Safe Harbor language. Today's conference call includes comments concerning Zumiez Inc.'s business outlook and contains forward-looking statements. These particular forward-looking statements and all other statements that may be made on this call are not based on historical facts, are subject to risks and uncertainties, and actual results may differ materially. Additional information concerning a number of factors could cause actual results to differ materially from the information that will be discussed is available in Zumiez's filings with the SEC. I would now like to turn the call over to Mr. Rick Brooks, Zumiez's Chief Executive Officer. Please go ahead, sir.
Richard M. Brooks: Thank you, and welcome, everyone. I'm joined today by our Chief Financial Officer, Chris Work. I'll start today's call with some prepared remarks about the third quarter. Then Chris will take you through our financial and operating highlights for the third quarter and our November sales. After that, we'll open the call up to your questions. Earlier today, we announced third quarter earnings per share of $0.39, which as expected, included costs of $1.7 million related to the Blue Tomato acquisition. Also included in our results, but not in our outlook, was a $1.3 million charge related to the conditional settlement of a wage and hour dispute in California. Combined impact of these charges on our earnings per share in the quarter is $0.07. Excluding the unplanned conditional settlement, our earnings were near the high end of guidance range. Given how our back-to-school season played out and the general shopping trends we've seen throughout the year, we are pleased with our overall results for the third quarter, which included a 1.5% comp increase. In November, the variability we have seen between peak and nonpeak periods continued as the Black Friday weekend was strong. This was offset in part by the impact of the Cyber Monday week, which was in our prior year comp base but not in the current year comp. We believe our ability to grow despite what has been a challenging retail environment is a testament to our focus on consistently offering our customer the brands and products they desire and connecting with them in a unique and personalized manner that further differentiates our concept within the marketplace. This has been Zumiez's mission since the company's inception. And today, with technology empowering the teen consumer, we're enhancing this experience across all our channels. We're now able to connect with our customers more effectively than ever. To ensure we are positioned to further evolve our selling, merchandise and service offering to meet the changing needs of our customer and build a solid foundation for sustainable future growth, we have been making strategic investments in 2013. To that end, we've seen some pressure on margins as we fortify and extend our brand through these investments. Investing in our business and our people remains integral to our identity as a company and our success in the long run, which we believe will far outweigh the short-term impact on the bottom line. Our investments this quarter, like previous quarters, have been focused on growing our geographic footprint, both domestically and abroad, heightening our customers' experience through a strengthened omni-channel selling strategy and furthering the efficiency in growth of all channels through thoughtful investments in our team. I'll take a minute to update you on these efforts. We continue to build out our store base in North America, opening 18 new stores in the third quarter and 2 in November. As of the end of November, our total North American store count is 541 stores. We believe there is still a great deal of opportunity in the North American market for further expansion, as well as sufficient consumer appetite for our highly differentiated product offerings. We continue to plan our business in the U.S. to be between 600 to 700 stores long term and anticipate our Canadian store base to be approximately 10% of the total U.S. store count. We opened 2 new stores in Europe during the third quarter and 1 in November, bringing our total European store count to 10. By the end of the year, we plan to have 12 stores, which is 4x the number of stores we had when we acquired Blue Tomato in July 2012. We continue to see tremendous, long-term opportunity in Europe and are taking a tempered, well-thought-out approach to gaining market share while keeping to our core fundamentals. We believe that effectively expanding our presence in Europe is highly dependent on our ability to seamlessly extend those things that have produced our North American success: our culture; our tailored approach to local product assortments; and the experience we provide the customer, both in-store and online. When we spoke last quarter, we had recently launched an enhanced zumiez.com and blue-tomato.com. And I'm pleased to announce that both have been performing nicely. Our e-commerce penetration grew to be 11% of our total sales this quarter. Our success in e-commerce goes hand-in-hand with the success we have in our stores, which is why we view our omni-channel strategy as so integral to our future success. There is still much we can do we here to further integrate our various selling channels and enhance our already highly differentiated customer experience. Whether it be online or in our stores, we continue to manage our operations and our expansion on a micro level, assessing what's working, what we can capitalize on within the boundaries of staying authentic and true to what we do. By empowering our store managers to make decisions that will make their stores successful, we're able to keep our finger on the pulse of our local markets, giving us greater insight to how best to optimize our store portfolio, increase store productivity and target the right return on our investments. We couldn't do this without the dedication and buy-in of the entire Zumiez team. It is their execution that, we believe, has allowed us to capture market share in this tough selling environment. As we wrap up the year, we remain cautious with our short-term outlook, but we feel confident in our position in the market and the strength of our product assortments going into the key holiday season. Looking further out, we know that the investments we've been making in our business will prove crucial to our long-term success. While we believe the opportunities for expansion are significant, we are careful to stay true to the fundamentals that have driven our past successes. Our unique culture, diverse and locally relevant product assortments and our lifestyle-focused approach to doing business still provide the roadmap by which our investment decisions are made. And we believe staying true to these principles will provide the catalyst for realizing our ambition for being a leading global lifestyle retailer. I'll now hand the call to Chris for a review of the financial results.
Christopher Codington Work: Thanks, Rick. Good afternoon, everyone. I'll start by reviewing our third quarter results and update you on our November sales results and then provide guidance for the fourth quarter. Third quarter net sales increased 6.2% over the third quarter of 2012 to $191.1 million. By region, North American sales were up $9.1 million, and sales in Europe were up $2.0 million. Same-store sales were up 1.5% in the third quarter and comparable e-commerce sales, which are included in our consolidated comps, increased 7.9%. E-commerce represented 11% of our overall business in the quarter compared to 10.7% for the third quarter in the prior year. In terms of category performance, junior's, hardgoods and accessories posted positive comps, while boy's, men's and footwear comped negative. Our top line also benefited from having 55 additional stores in the 2013 quarter compared with the year-ago period, partially offset by the shift of a high-volume back-to-school week out of the third quarter into the second quarter worth $7 million. Gross profit was $70.8 million in the third quarter of 2013 compared to the $67.1 million in the third quarter of 2012. Gross margin was 37% in the quarter, compared to 37.3% in the year-ago period. The decrease in gross margin was a result of the deleveraging of our store occupancy costs and increased e-commerce fulfillment costs as a percent of total sales, partially offset by $1.4 million in prior-year inventory step-up costs associated with the Blue Tomato acquisition. Consolidated product margins, excluding the impact of the prior-year inventory step-up charges, were flat in the quarter. SG&A expenses for the quarter were $50.1 million or 26.2% of net sales, compared to $45.7 million or 25.4% of net sales in the 2012 quarter. Included in SG&A in the current year period is $1.7 million in Blue Tomato acquisition-related costs, made up of $1.1 million of contingent incentive payout accruals and $0.6 million for the amortization of intangible assets. Also included in the current quarter is $1.3 million associated with the conditional settlement of a wage and hour class action lawsuit in California. Included in SG&A in the 2012 quarter are $2.6 million of Blue Tomato acquisition-related costs. Also included in the 2012 quarter is $0.3 million of costs for the relocation of our corporate office. Excluding these costs, SG&A increased 90 basis points as a percent of sales due to deleveraging our store operating expenses, the shift to back-to-school sales out of the third quarter and investments in our e-commerce business. Third quarter operating profit was $20.7 million or 10.8% of net sales compared to $21.4 million or 11.9% of net sales during the third quarter of last year. And lastly, net income was $11.9 million or a $0.39 per diluted share in the third quarter of 2013 compared to $12.7 million or $0.40 per diluted share during the 2012 third quarter. To summarize, in our 2013 third quarter results, our costs of $1.7 million or $0.05 per diluted share related to the contingent incentive payout and amortization of costs from the Blue Tomato acquisition, as well as $1.3 million or $0.03 per diluted share related to the conditional legal settlement. On a combined basis, the impact on EPS was $0.07 due to rounding. This compares with costs included in the 2012 third quarter for Blue Tomato related charges of $4 million or $0.10 per diluted share. Also included in the 2012 third quarter are $0.5 million or $0.01 per diluted share of costs associated with the relocation of our e-commerce fulfillment center and corporate offices. As a housekeeping note, our 2013 third quarter guidance did anticipate costs from the Blue Tomato acquisition but did not factor in the conditional legal settlement. Turning to key balance sheet highlights, we ended the quarter with cash and current marketable securities of $94.2 million, down from $98.3 million 1 year ago. The year-over-year decline was driven by capital expenditures, primarily related to new store growth and approximately $30 million paid to repurchase our common shares, partially offset by cash generated by operations. Inventory increased to $126.7 million at November 2, 2013, up 15.4% from $109.8 million at October 27, 2012. In North America, our inventory per square foot was essentially flat. However, due primarily to the buildup of operations in Europe, our consolidated inventory per square foot was up. As a reminder, throughout the year, our inventory balance may be impacted by the shift in the calendar, resulting from the a 53rd-week -- resulting from a 53rd-week fiscal 2012. Going into the busy holiday selling season, we remain confident in the quality of our inventory levels. Turning to our November comps and Black Friday, our comparable store sales increased 1.7% for the 4-week period ended November 30, 2013, compared to a 4.2% decrease for the 4-week period ended November 24, 2012. Total net sales for the 4-week period ending November 30, 2013, increased 16.3% to $62.4 million compared to $53.6 million for the 4-week period ended November 24, 2012. The increase in comparable store sales in the period was driven by an increase in comparable store transactions, partially offset by a decrease in dollars per transaction. Dollars per transaction were down for the 4-week period due to a decrease in average unit retail, partially offset by an increase in units per transaction. During the 4-week period, accessories, junior's and hardgoods comped positive, while boy's, men's and footwear posted negative comps. Our comp over the Black Friday weekend, defined as Thursday through Sunday, compared to the Black Friday weekend in 2012, was 11.2%. While we believe there was a positive impact to the calendar shift on the weekend due to the condensed holiday shopping season, we also believe these results are an indication of the significance of the peaks during the holiday season. Year-to-date, 2013 comparable store sales through November 30, 2013, increased 0.8%. Turning to guidance. As always, I'd like to remind everyone that formulating our guidance involves some inherent uncertainty and complexity in estimating sales, product margin and earnings growth, given the variety of internal and external factors that impact our performance. Before I get into specifics on our guidance, I want to quickly review some of the trends we've identified today and on previous calls because these trends are reflected in our guidance. We believe we continue to be the retailer of choice amongst our customers, despite the challenging selling environment we've experienced in the last several quarters, which we believe is reflected in our year-to-date comps. While we're encouraged by the continued support we see from our customer base, we remain cautious on our top line outlook, given volatility in consumer shopping behavior, particularly amongst teens. In addition, as Rick discussed previously, 2013 has been an investment year as we continue to build a strong foundation for sustainable future growth. As a result of these investments, we do anticipate some short-term drag on our margins as we equip the company for long-term success. With that in mind, we are planning fourth quarter comparable store sales to be in the range of a decrease of 1% to an increase of 2% and total sales to be in the range of $230 million to $237 million. We expect consolidated operating margins to be in the 13.5% to 14.5% range with diluted earnings per share between $0.60 and $0.66. Included in our fourth quarter guidance is an estimated $1.7 million or $0.05 per share in costs associated with the acquisition of Blue Tomato, consisting of $1.1 million in the contingent incentive payout and $0.6 million in intangible amortization. As a reminder, the calendar shift resulted in an extra week in the fourth quarter of fiscal 2012, which was worth $8.9 million to that quarter. For the full year, through November 30, we have opened 57 of the planned 59 stores for this year, including 9 in Canada and 4 in Europe. We expect to open 2 more stores in the fourth quarter and our net store growth after closures for the year to be 53 stores. As a reminder, we have removed the 2 seasonal Blue Tomato stores from our total share count as these stores are not representative of our full-line store base. We expect capital expenditures will be between $36 million and $38 million, consisting primarily of new store openings and store remodels. This compared to $41 million in 2012. We expect depreciation and amortization to be approximately $26 million, an estimated 14% increase over fiscal 2012. We anticipate our annual effective tax rate to be slightly higher than our fiscal 2012 rate. Our weighted average shares used in the calculation of diluted earnings per share for the full year is projected to be approximately 30.3 million shares, which includes the impact of the 0.2 million shares repurchased year-to-date. Any additional share repurchases will further reduce our share count. Based on our performance through the first 9 months of fiscal 2013, we expect to incur lower-than-planned incentive compensation expense, which will benefit this year's earnings, but does create a tougher year-over-year comparison in fiscal 2014, which is something to take into account as you think about next year's bottom line growth rate. Lastly, today, we announced the authorization from our Board of Directors to repurchase an additional $30 million worth of our common stock. The new repurchase program replaces the previous repurchase program that had been authorized 1 year ago. And with that, we will now open up the call for your questions.
Operator: [Operator Instructions] And your first question comes from the line of Mitch Kummetz with Robert Baird.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: A couple of questions. First off, maybe, Rick, can you just comment on your thoughts on footwear these days? I know I think it was last year on the Q3 call, you talked about some shifts in trend there. It sounded like you maybe were correcting some of that. Last month, October footwear was up off of a down month 1 year before, but then in November it looks like it was down off of a down month. So just kind of curious how you're thinking about footwear these days.
Richard M. Brooks: Sure, Mitch. Again, we kind of have to parse the discussion a bit between men's and women's. The strength in our footwear business has been -- again, it's flipped from a year ago, has been men's. And women's are -- our women's footwear business has actually a more difficult business last year. But in aggregate, the men's is pulling it up to a positive number. So we're seeing, Mitch -- I mean, I think some of it is recurring trends around some really unique product on the marketplace that we're able to, again, be in a good partnership position with our branded partners on. And there's just a hot shoe right now, I think which is one important element of what's going on in the footwear business. So our teams have done a great job of repositioning. Again, as we've talked about in the comments that our ability to micro-sort, really get down to what's working at every single location. I mean, we're planning footwear at a more detailed level, I think, than we've ever done, Mitch. So I think it's a combination of great product from our branded partners in footwear, a good hot silhouette in the shoes. And then our team, I think, is just doing from our merchant side, a really great job of planning the category at a really fine level.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. And then just a follow-up on Blue Tomato, can you guys just drill down on what the earnings impact was on the quarter? Maybe on last quarter too, it sounds like sales were up year-on-year, but you guys have opened some stores. Just kind of -- I was hoping to maybe get a better sense as to how that business is impacting the earnings?
Christopher Codington Work: Yes. I think we tried to layout the overall charges for Blue Tomato. So hopefully, you got those through the call. If you exclude those charges, Blue Tomato is contributing positively. But the charges that we're recording are making the overall contribution negative at this point.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Okay. And would you expect Blue Tomato to contribute positively to earnings in the fourth quarter as well, excluding the charges?
Christopher Codington Work: Yes.
Operator: And your next question comes from the line of Dorothy Lakner with Topeka Capital Markets.
Dorothy S. Lakner - Topeka Capital Markets Inc., Research Division: It finally seems this year, we've actually gotten some cold, snowy weather, depending on what part of the country you're in. So I'm just wondering if you could comment on the snow part of your business, how you've positioned that this year versus last year? And then just also if you could comment on the accessories part of the business, as well?
Richard M. Brooks: All right, Dorothy. Appreciate your question. So we'll start off with the snow business. And as I think Chris said in the commentary, and let's -- we'll focus on and, really, we should focus on November in regards to this -- to responding to your question. So -- and as Chris commented, overall, our hardgoods business comped positively in November. However, if I parse that and break out the skate versus snow hardgoods side of those 2 businesses, I'd tell you that skate is what created a positive number for us in North America. In Europe, our snow business has actually been quite strong. Now I think there is -- as we look at November, and by the way, I'll add to that it's not just the hardgoods, our outer wear business has also been -- was also difficult in November. So I break that out and I say, there's always a perception that it was a colder November. It really isn't true if you look at broadly across most of the country and in the west, it was actually not as cold as, I think, people think on the East Coast. So we -- and that is where the bulk of particularly our hardgoods business and our outerwear business is done, was more in the Colorado and West marketplaces. So we still have a long ways to go in the snow season. The November numbers are significant but dwarfed. They're dwarfed by our numbers in December and January when we look at the strength of the business of those months. So we still have a long ways to go in the snow business in our winter business categories. I will add, though, in terms of positioning is we have done, I think, some -- our merchants did some very clever things with how we positioned our inventory by this last year. And I will tell you, I think that we are in an excellent position relative to inventory in our snow product. And I think no matter how the season turns out, we're going to be well positioned coming out of the season based upon some of the unique strategies we've been able to employ in terms of how we bought the product and how we're selling product across the country. In accessories, the comment on accessories, again, it's been a great category or department for us for a while. And there are -- as usual, I won't get into the details, but there are a number of categories within the department that are working really well. And again, we have a lot of categories, Dorothy, underneath our accessories department. So I'm not going to break that and parse it down because it just gets way too micro. But as usual, and I think this probably ties back again, also to Chris' comments about the makeup of the comp relative to transactions and AUR because you're seeing accessories in a month like November kind of lead the charge there. You can draw some correlation between those 2, I believe, that we just have some things that are doing terrific. And I might add, we have categories that are doing badly, too. But that's the nature of the accessories business where we sell such -- so many categories of products within the department. And again, I'd say, that's a place where I see our merchants have done a great job of chasing, what's working, minimizing our exposure on the things that aren't and leveraging the business to drive a gain.
Operator: Your next question comes from the line of Dave King with Roth Capital Partners.
Isela Soto - Roth Capital Partners, LLC, Research Division: This is actually Isela Soto on for Dave King. Can you give us any a color on Cyber Monday following some of the online initiatives you've implemented over the past year?
Christopher Codington Work: Yes, sure. We're not going to give direct color on Cyber Monday, other than to say we talked about the shift and the impact that has on the month of November. One of the challenges as we look at Black Friday and Cyber Monday overall is the compression in the cycle here in going from 5 weeks between Thanksgiving and Christmas to 4. So what we can tell you is on Cyber Monday, overall, we're up from the prior year, but it is hard to parse out what is being closer to the important Christmas holiday and what is the performance on Black Friday. So what's important to us is, as Rick mentioned, our sites are operating well, and our investments are paying off there. And the web continues to contribute positively to our comps. So we're happy with our results, but it's hard to parse out what the benefit is.
Richard M. Brooks: And I agree with Chris's comments. And I think, again we're going to have to -- we need to be patient to look at the whole season together. And so we'll to be able to talk to you more about that when we release December sales results.
Isela Soto - Roth Capital Partners, LLC, Research Division: Okay, that's helpful. And then did you feel any pressure to extend or add items to promotions over the course of the Black Friday weekend? And how should we think about that over the remainder of the season?
Richard M. Brooks: No, we -- again, I just thank you for the question because it's always for me to remind everyone that we're not a discount retailer like apparently everyone else in the mall is these days. So we were -- no more promotional 1 year ago than we were today overall. And in fact, considering the new stores that we've added over the last year, we had very -- in the month of November, very little additional markdowns overall as captured by our point of sale. So we were no different really on any significant way from our promotional cadence from 1 year ago. And again, our goal is to be the partner -- the retail partner for our branded suppliers to sell their product at full prices. Because they have great product, unique product, that customers see value in. And that's our role in the marketplace. So our promotional cadence, again, was no different over the Black Friday weekend than 1 year ago in any significant way, and we're really happy to be in that position.
Operator: Your next question comes from the line of Stephanie Wissink with Piper Jaffray.
Maria C. Vizuete - Piper Jaffray Companies, Research Division: This is actually Maria Vizuete for Stephanie. I'm just wondering if you could provide a little bit more color on merchandise margins in the third quarter? And maybe provide any color on how we should think about them in Q4?
Christopher Codington Work: Sure, yes. Our merchandise margins for the third quarter were flat with the prior year, excluding the impact of the prior-year inventory step-up around Blue Tomato. So overall margins have continued to be strong, tying into Rick's point in the previous question around being a less promotional and selling brands that have significant equity. As we look to the fourth quarter there, in the guidance that was provided there is no significant plan to change margins materially. So we feel confident with our inventory position and feel good about our strategy moving into the fourth quarter.
Maria C. Vizuete - Piper Jaffray Companies, Research Division: And can you just provide any additional thoughts on where you see inventories ending at Q4 end?
Christopher Codington Work: Yes. Well, without giving complete guidance, as we saw in the third quarter, our inventories were up with North America being relatively flat on a per-square foot basis. And then growth in Europe based on getting ready for the holiday season and the stores that we're opening there. So we do anticipate we'll end the year with slightly higher inventory. But do not anticipate it to be as large as our third quarter increase.
Operator: And your next question comes from the line of Jeff Van Sinderen with B. Riley.
Jeffrey Wallin Van Sinderen - B. Riley Caris, Research Division: I know that e-commerce has been or digital has been comping for you and you've done a lot of work to bolster that part of your business. Maybe you could just give us a little bit more on what the key omni-channel, if you will, or digital initiatives are that you're focused on for the next few quarters, maybe just comment on how you think that -- or how you think about omni-channel becoming more seamless for your customer in the future?
Richard M. Brooks: Sure, Jeff. I'm not going to get too specific here because I think that some of the things we're doing, we have a significant competitive advantages on in terms of how we're doing it and the strength that we're doing it with. Let me just maybe highlight for you some of the things that we would look back over the last few years and talk about the significance of what we've done and perhaps give you some characterization for the things we looked at going forward. So if you look back over what's been a really pretty tough environment over the last 5 years from a particularly teen retail customer experience. I mean, we've been very focused on looking and seeing what's really driving share consolidation in the marketplace is empowered consumers through the use of smart devices. And I think that's been accelerated at times by a very difficult economic situation. So for the last really 4 to 5 years, we've been really focused on saying, we're going to be an omni-channel retailer. And we'll just define that by saying it's integrated multichannel selling, seamless integrated multichannel selling is objective. So over the last 5 years, we've done a lot of things that we've talked about a lot of them with you over this time. The first was, I'll remind you just from a strategy point of view, is a pull back on the number of stores, right? Because prior to that, prior to 5 years ago, we were saying we'll have 800 stores in the U.S. and now I think we're saying it's going to be a lot less. And I say that by -- remind everyone that doesn't mean we think we're going to have less revenue, any less revenue overall. It's that we're going to capture the revenue differently. We invested heavily in 2009, time of our largest software investments, in new assortment planning software. That was a key tool that we're using heavily today, intensely today as in my comment to Mitch regarding our ability to really finely assort footwear by locations. These are very powerful tools that we think we have some leading, leading-edge advantages here with what we're doing. We're going to continue to evolve that in many ways as we look into the future for our omni-channel efforts. But they're fundamental omni-channel things that we need to have because you just don't think about planning by location now, you think about by trade areas. And these things are really a critical way to think about the business. So we have done a series over the last 4 years of integrated selling techniques between the web, our stores, stores and the web, social channels. You name it, we've been experimenting and trying with it and we had pretty good success. You can anticipate going forward that we're going to do a lot more of that, Jeff, in terms of our process and how we think about what we're doing. And a key part of building the launching the new web platforms was to establish ourselves with a new technology platform, so we can extend what we're doing in an omni-channel way over the next few years based on the technology we launched in this last platform. So I like people to always think about these things on a continuum. We've been doing a lot, we have and I think we've done it fairly successfully over the last 4 and 5 years. But we have a lot more to do. And I can tell you, we have a fairly detailed roadmap on the things we believe we need to do next year that will lead to what we're going to do in 2015. And they're all interconnected, built on one another as we layout the omni-channel strategies. And I like, Jeff -- thanks for the way you rephrase the question because it's really not about e-commerce, it's really not about stores, it's about meeting whatever our customers want and whatever channel they want it, anyway they want to get the product. That's where we're trying to play and we're trying to dominate the market in that arena of integrated multichannel selling.
Operator: Your next question comes from the line of Edward Yruma with KeyBanc.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: A little bit of a derivative off the last question, but your business is much different than it was many years ago, you guys have a more, I guess, arguably more opportunities for organic growth in e-com, Canada now Europe. As you think about the long-term earnings calculus of your business, where should we expect the bulk of your incremental investment to be spent. Particularly if the U.S. teen mall environment remains intensely promotional. What would it take you to reconsider kind of your U.S. store target?
Richard M. Brooks: All right. Thanks, Ed. And you're right that does build off the last question. And I will tell you that we, on a regular basis, are revisiting our U.S. store targets. So this is something -- I think your question is an excellent question. And I think it's -- I have to tell you, I just view retail in America as over-stored. I think, in particular, I teen retail is way over-stored. And that is one of the reasons that there's such tremendous promotional pressure in the teen retail world. One of the reasons, not all of them. But it is a significant reason, I think, that we see the level of promotional cadence in the teen world that we're seeing today. So we are constantly looking back and challenge ourselves on a regular basis about what we think that right store number is. And I can tell you that we don't know what the right store number is, but we try to characterize it like this, which is we don't want one more store in a market area than we need to capture the sales in that market area. So we're measuring things in all new ways, and you are absolutely right. Our business today, compared to what it was 5 years ago, has been essentially completely reinvented. And we used to be just a 20% unit grower, and we virtually didn't really have a web operation. Well, now we've got a pretty substantial web operation. We've slowed downed the rate of growth of our stores, and we've really focused on this idea of integrated multichannel selling the omni-channel world. So much different business. And I have to tell you, I also think our position today is much more defensible. It was much easier to be a large unit grower than it is to play the game we're playing today. And so we're constantly going to reevaluate where we're at. And as I said, when we moved from 800 to 600 to 700 stores, that wasn't a takedown of revenue in our mind. It was a shift between channels, and it was shift to more productive, as we believe, more productive stores. So if we were to move, wherever we end up with the store count in the U.S. We don't anticipate that we're going to have less revenue in our projected 5-year plan. We think we'll capture the same amount of revenue, it's a matter of capturing it in the most cost-efficient way that we can possibly capture the revenue. And in a way that that best -- and even more importantly, in a way that best serves our customers.
Operator: Your next question comes from the line of John Morris with BMO Capital.
John D. Morris - BMO Capital Markets U.S.: The junior's business, Rick, has been performing well despite a lot of weakness industry-wide in female teens. Can you give us a little more color about what you guys are doing differently there? And more broadly any changes in terms of how you're seeing how the teen junior shops?
Richard M. Brooks: All right. Thanks, John. We -- again, we worked hard on the junior's business. I think going back again 4 years ago with a new merchant in place, we really have redeveloped what our strategies are, and we have a three-pronged approach, John, to how we're thinking about our women's business. And I'll tell you, I think our strategies today in women's are more sustainable than we even -- in terms of being able to continue the quality of our women's business going forward than it's ever been anytime I've been here in my 20 years with Zumiez. So I feel really good about what our merchants have done and how we thought about layering in uniqueness of product from a brand perspective, the importance of private label for a values perspective in the business and really going after the key fashion trends by categories. And as you know, we have a very limited space relative to our competitors in the junior's arena in the mall setting. So we have to be very special in how we use that space. And I think our merchants have done a really good job on that front in really laying out a clear path for us with how we can play. We can play in different cycles. And I'm really proud at the consistency and quality of what they done. And we think again that there's an opportunity. I also think we're seeing -- we're benefiting broadly from the perspective that there is some desire to move back towards a little bit, perhaps a little bit more better quality women's merchandise than has been driven by the fast fashion cycle for the last few years. And I think that a retail like Zumiez is very focused and unique in what we're trying to do is probably benefiting a bit from a cycle back towards a little bit better high-quality product. And the last thing I'd say about what we're doing in junior's is that we're trying to do something that is completely consistent with our Zumiez brand experience for our consumer that doesn't -- that isn't something distinct and separate from what we're doing in the men's side of the business. I think it's a very important to us because, again, as we said in the comments, you have to be authentic and true to your brand ID. And I think, again, I feel very good where we're at with the strategies we've had in place that we're executing in our women's business.
Operator: Your next question comes from the line of Pamela Quintiliano with SunTrust.
Pamela Nagler Quintiliano - SunTrust Robinson Humphrey, Inc., Research Division: So I just had a quick one. We recently received the ultimate gift guide in the mail, and it looks great. I don't remember getting it in the past, but quite honestly it could have been because we weren't on the list. So can you tell us a bit more about it, the strategy surrounding it, costs to do it, where the list is coming from, anything else you feel like providing for us would be really useful.
Richard M. Brooks: Well, thanks again for the question, Pam, and thanks for paying attention to what we're doing out there. I would, again, put this under the guise of one of our continuing investments in omni-channel selling, integrated multichannel selling. We are, to be clear though, this is actually our second book, we mailed a book in the back-to-school season too, in the early part of the back-to-school season. And we are in a test mode and I want to be clear with that is where we're -- this is not something that's designed to, at this point, drive large volumes of business. It's designed for us to evaluate whether or not it works effectively with our current consumer base. So today, we are not using the book to prospect. We're using the book to determine whether or not we can deliver a great brand experience for our branded partners, as well as for Zumiez, in the home of our consumers. And that we can see a lift in purchases because of the delivery of this book into people's homes. And so we are using a series of control groups, in addition to -- so we have a number of segmented test mailings that we do as part of the overall approach. The control groups for each of those test mailings and then of course, we're measuring the lift that we're getting in sales for each group and each -- relative to the control group. I can tell you, again, that we're very encouraged by the back-to-school results. But again, these are tests, they are not designed to run, to drive large volume. But we're very encouraged by what we've learned in back-to-school. And we're going to continue this process and we hope to learn a lot more. And we, of course, as you might imagine doing and testing more things here as we move through the holiday season. But we hope to learn a lot more. And I anticipate that we'll probably continue the process over a number of series of books and hopefully we're able to turn this into another channel -- interconnected channel for our overall retail business.
Christopher Codington Work: And I'd just add to that, Pam, your question around costs, is they're not significant enough to call out. And as Rick mentioned, it's something we're measuring to get that lift. And so as the impact is -- the impact is greater, we would invest more in the tests. But at this point, it's not substantial enough to call out.
Pamela Nagler Quintiliano - SunTrust Robinson Humphrey, Inc., Research Division: But you did expand the number of people that you sent it to this round versus back-to-school?
Richard M. Brooks: We did, and again, you could probably derive again, as I said, that we saw some significant lift in the back-to-school test. So you might imagine that we were -- we felt it was appropriate to mail more people this round.
Pamela Nagler Quintiliano - SunTrust Robinson Humphrey, Inc., Research Division: It looks fabulous. It's very, very eye-catching and I would imagine it's going to serve as a strong traffic driver for the business. So best of luck for the holiday with it.
Operator: And you're next question comes from the line of Richard Jaffe with Stifel.
Richard Ellis Jaffe - Stifel, Nicolaus & Co., Inc., Research Division: My compliments on the junior's business. It looks terrific and I guess I feel like you're showing a lot of discipline in keeping it small and very quick-turning but very trend right. Wondering as you look into a very competitive environment, with the junior side being arguably more competitive, a woman having more choices. How do you see the holiday season and then spring for your junior business and how you think you'll manage in terms of opportunities for growth? And if you have visibility for some either new vendors, new trends, new ways to continue that business as a success?
Richard M. Brooks: All right, thanks, Richard. I wish I was clairvoyant enough to know exactly how holiday and spring were going to turn out in women's. I'm not that smart. I think you probably already know that. But what I will tell you again is it's been gaining in mix share of our business. I think it's going to continue that because I think we have an opportunity here. Our previous peak, I think, in our junior's business mix of overall share was around 15%, 15% of the mix, and we've been -- we're still below that. And I think we have some opportunity to move up and without losing -- this is additive business, right, we're not going to lose more men's business because we're able to build our junior's business, turn our junior's business faster. So we're excited again, I think the team has good strategies in place. You're right, we're very disciplined about the strategy, and we are very disciplined about turning inventory quickly on the junior's side of the business. So we can be on the current trends and cycles. I think we found the right mix of value, in addition to unique brands and fashion pieces. And it's a very -- as you said, for the space we have, very limited space we have relative to our competitors, I'm really encouraged by how the team is doing. So my hope and my belief is that we will see these trends continue through holiday and hopefully into spring.
Operator: Your next question comes from the line of Chris Buss with Credit Suisse. And your next question comes from the line of Betty Chen with Mizuho Securities.
Betty Y. Chen - Mizuho Securities USA Inc., Research Division: I was wondering if you can talk a little bit about the men's business, men's apparel. This year, we've been lapping some very tough comparisons, wondering how you and the team think about that business as you wrap up the year and go into 2014? And then secondly, for Chris, can you just clarify your commentary regarding SG&A guidance for the fourth quarter? And I think you had mentioned that it would be up, but I just want to make sure we have the right notes down.
Richard M. Brooks: All right, thank you, Betty. So I'll talk a little bit about how we're thinking about men's at this point and then Chris will answer your SG&A issue. Men's obviously, it's been tougher for us. And you're right, I think it's partially tough because we have had a long run in our men's business and we've had some terrific [indiscernible] who've grown significantly over the last few years. We -- and I might also add, the comments earlier about the difficult or tough November, as it relates to November, our tough winter business in men's, that was reflected in our men's business in outerwear cycle, too. So I think, some of this we'll see come around, it may take a bit more time here. But we have a lot of very exciting young brands that we're working with, and we're seeing good success in key markets with these young brands. And our experience over a long period of time, and like I said, in my earlier -- in my 20 years here at Zumiez, is things like this run in cycle. And we're happy to have other categories or the other departments lead the way, and we've seen other cycles like these where men's has been a laggard because of strong comparisons. And then before you know it, we find that next or real key emerging brand that becomes an all-store buy. We ride a new emerging fashion cycle. So I have to tell you that from my perspective on the men's side, I am actually really encouraged at how well our teams have done at managing against what are these -- some very difficult comparisons with some brands in the business and how well we've done in offsetting some of the losses we've had in some of those brands. And so this is normal cycle for us. Again, we're -- I think you look back historically, we have a very strong track record of finding ways to run gains no matter and using those cases -- some departments always running down and some departments always running up. And I think that's where we're at right now, and I'm optimistic, as always. I can't tell you what's going to be necessarily, but I'm optimistic, as always, that we're going to see the men's business. We'll find that next catalyst, we'll find that next brand that becomes an all-star buy, and we'll be able to ride that for then quite a period of time from that point forward. Chris?
Christopher Codington Work: Great. Betty, in regards to your SG&A question around where that will be. Well, we did talk about where in the guidance is where our operating profit would be, which we believe our year-to-date operating profit in the fourth quarter would be between 13.5% to 14.5% for the year. Obviously, one of the challenges we have on the SG&A side, specifically on this investment cycle, is that on this level of comp, we are seeing some deleverage. And so we are doing things, obviously, to mitigate that. We talked about in our prepared remarks the reduction of incentive comp and meeting our metrics. But we expect to grow SG&A overall on the year, but we will be deleveraging because of the comp. And I also should mention -- I'm sorry, I should also mentioned as we think about SG&A, as well, in comparison to 2012. 2012 did include an extra week. It was a 53-week-year compared to a 52 2013, which obviously puts some challenges into our metrics in comparing year-over-year.
Betty Y. Chen - Mizuho Securities USA Inc., Research Division: And then in terms of earlier, I think, Chris, you said that we're in an investment phase. Now a lot of these initiatives really sounds like the ongoing investments are really required in the business. How should we think about 2014 SG&A, if any color you can give us on that front?
Christopher Codington Work: Yes. I mean, the challenge with investments is I can't turn them on in the first day of the year and turn them off on the last day of the year. So there always is going to be some impact as they move on into the coming year. And as we talked about the investments on the last couple of calls and throughout the year, I mean these investments, they are significant investments around the websites, our IT and web teams and then obviously, our international expansion, as well. So the way we would think about those investments is that they will have an impact on 2014 and beyond. However, we also believe that they'll drive incremental sales. And like all investments, we evaluate the investments based on their long-term returns. And so the idea would be the investments are put in place to help drive in future growth and that growth will further leverage those fixed costs in the years to come.
Operator: Your next question comes from the line of Paul Alexander with Bank of America Merrill Lynch.
Paul Alexander - BofA Merrill Lynch, Research Division: Could you just talk a little bit about the comp guidance for fourth quarter? For the November comp, you're running kind of near the top end of the fourth quarter guidance. So it'd kind of imply that from here out, you see more risk of the comp decelerating than of it maintaining or accelerating? I mean, why would that be the case for November, arguably, has the stiffest headwinds from calendar shift? And as you guys were saying about peak periods being best for you, December is clearly the peak of the year. So why the maybe conservative outlook?
Christopher Codington Work: Yes. I think we spent a lot of time talking about this and thinking about this, Paul, as we do every quarter. If you look back at the year, our year -- our quarterly comp cadence has been down 0.7%, up 0.9% and 1.5% for the third quarter. So we certainly have established a trend line of what we're seeing. And in this market, there is clearly some uncertainty. And while we're happy to be positively comping, the outlook, as we look forward, is more challenging as we think about where the comp will go. So we definitely think we're encouraged by our performance over the holiday weekend and how we comped over Black Friday. But there is clearly some more macro trends here that have impacted our comp over the year. And so as we look to the fourth quarter, we are trying to layout where we think a reasonable comp range is.
Richard M. Brooks: I would just add, Paul, that Chris laid out that quarterly comp trend for the current year. That is against some widely different comp trend -- quarterly comp trends from the prior year. So again, this is where your -- the prior-year comp doesn't seem to really have much impact on the current year comp relative to ease of comparison or difficulty of comparison. So that's why I can't -- it's appropriate to be conservative for where we're at. And I'll just remind you that when we talked about being better in the peaks and looking back over particularly last 10 years, what that really means is that your soft in the troughs. And so when we talked about peaks around this season, what we're really talking about is the Black Friday weekend. And then in relationship to now, of course, we expect our e-commerce business to be dominant and the stores to be tougher in the trough. And right before Christmas, we expect our stores to be dominant. And of course, we -- those days after Christmas, we have a long history of doing very well when our customer comes out to be the shopper. So it's not just the peaks are better. And I believe this will be the case again where we'll see the peaks get more violent this season. But the troughs will get deeper in between the peaks. So that's why, again, I think as we've laid out the guidance, we're trying to be appropriately conservative relative to the trend cycles, as Chris pointed out, as well as to this expectation that the peaks so few days that it makes a difference that we can excel in those -- outside of those few days, we expect the troughs to be deeper.
Paul Alexander - BofA Merrill Lynch, Research Division: That's really helpful. And then, Rick, just a follow-up on that topic that you were addressing earlier about the brand pipeline and finding home runs in men's brands and how that's cyclical and sometimes it takes a while for you to find that new brand. In your experience, is there any general sense of what the duration is of those cycles? How long sometimes it takes to -- is there any rule of thumb that, that cycle moves at a couple of years? And then you get something and then a couple years and you get something? Or is it completely unpredictable?
Richard M. Brooks: I wouldn't say it's completely unpredictable because it's a cycle, right? And typically, the cycle is running long. But the in-between cycles, Paul, tend to be shorter than the success cycle, right? Because once a brand really emerges then it has a long run over a multiple-year period. It's typically the way it's worked historically. Now today's world, I would tell you though, my belief is that looking forward we're going to see these cycles shorten, because again, the power of technology. And this is why we are just laser-focused on trying to be supportive and a really good partner for our small retail brands. And again, we have hundreds of brands today that we're doing business with, just like we always have. And some of them are just in a few doors, and we want to be the right way for that young brand, and we want to do everything we can to help see them be successful. Maybe it's just those 10 doors, but we're hoping that over time -- and they have to do their job well, too, of making sure that they have great products. They have to have a great marketing, and product and marketing have to be completely aligned with the unique brand positioning. And then they have to have great retail partners that believe in full price selling. And we are a huge believer that it's a dangerous time to be out there for young brands in a sense that it's easy to be in a place where you're going to highly discounted. And that does a young brand in particular, a huge disservice. So we're trying to be the quality retail partner out there for these young brands. We're trying to engage with them early, we're doing a number of new things around that, and some of them just recently here in the last few months where we've been some new events that we've never done involving some young brands. And really laser-focused on how we can help them be successful. And they're going to take their own course and we're willing to take whatever course that is with them because, as they emerge, we'll be happy then to help them move from 10 stores to 50 stores to 200 stores to all-store buys. And again, there's no one pattern I can tell you other than that the -- historically, the troughs between hot brands has been much shorter than the run we get when they emerge.
Operator: And your next question comes from the line of Jennifer Black of Jennifer Black & Associates.
Jennifer Black - Black & Company Inc., Research Division: I have a few questions. I wondered if you could talk about your thoughts about unique fashion in the aggregate over the next 6 months? I know that you will not talk about specifics. But do you see anything down the pike that you're excited about as far as unique fashion, either men's or women's?
Richard M. Brooks: Yes, yes. Thanks, Jennifer, and I know where you're going because the fashion cycle has been kind of a stale one, right, in terms of what we're seeing out there. And there's hasn't been anything that's really been new and moving the needle, particularly in the teen market, I would tell you, and I know you're well aware. They are more micro things that have been out there driving. And so I don't know what -- I can't tell you that I know what it is at this point. Again, we're out there experimenting all the time with different looks, different fabrics. And again, we have the luxury of having our branded partners been doing the same thing. And so we're going to work closely with our brands to determine where we think what will come out next. I can't tell you that I have any insight today, Jennifer, about what that unique or new fashion cycle is going to be. And again, in our case, it may not be so much fashion-driven and again, it can be brand-driven. So we have the -- I think that's an added benefit of our multibrand structure, a multibranded retailer structure. So we're looking in both cases for how can we maximize again the emergence of young brands. And as well as let's just keep experimenting. Let's keep pushing on the fashion cycle in categories and in fabrications to make sure we're going to be there on the next cycle. And we believe, again, that historically, we get early reads to that based on the nature of our business and again, the nature of working with so many young brands and our branded partners out there. So I can't tell you what it is, I don't have any great insight about it. But again, I'm counting on the fact that we have great merchants and that we have great relationships with our branded partners to find and to be ahead of the game in finding that whatever that next cycle is.
Jennifer Black - Black & Company Inc., Research Division: Great. Well, I just have 2 more questions. I wondered if there were any significant geographic differences domestically. And were there any big differences between your full-priced stores and your outlets or online? Did you seek anything that was unusual?
Christopher Codington Work: Great. With geographic perspective, when you look at North America, there are no significant callouts across North America. As we have said on our last few calls, Europe did contribute positively to the comp, and it contributed positively in Q3. It also contributed positively in November, which is more important as the volume of Blue Tomato's cycle is more concentrated on the winter months. So we did see some pickup there from an overall geographic perspective. Regarding web and the stores, we do talk about that. Web increased 7.9%, and the stores were 0.7% related to the quarter. So you can see there was a breakout there. Although, I will caution you as you think about those 2 channels individually as they work together. And it's truly an integrated cycle. So we break that out, but we really look at the comp overall.
Richard M. Brooks: And outlets versus regular, Chris?
Christopher Codington Work: And outlet versus regular are relatively consistent. Nothing to call out there.
Jennifer Black - Black & Company Inc., Research Division: Okay, great. And then just lastly, can you talk about your Stash rewards program? Are you making any enhancements?
Richard M. Brooks: Yes, again, thanks Jennifer. We're still in the early phases of Stash. We're just over 1 year in the program, so we are in the learning phase with what we're doing. So yes, we will be making enhancements. We'll be adding new capabilities here over the next year to what we're going to be doing in Stash. We have beefed up the staffing in our area with Stash, with people who have experience working with loyalty programs. So we're very encouraged by where we're at with Stash. And we want to find more ways to reward our customer base in ways that really motivate them. And those are probably the areas you're going to really us experiment with and play with here over the next year.
Operator: Ladies and gentlemen, this will conclude the question-and-answer portion of today's conference. I would now like to hand the call back over to Mr. Rick Brooks for closing remarks.
Richard M. Brooks: Thank you, and again, I just want to make sure I say thanks to all our investors out there and the analysts who follow our stock. We appreciate your attention. And as Chris said, and you've heard me say, we think we're well-positioned for the holiday season. And we'll look forward to talking to you and giving you some head -- some color on December here in early January. And then, of course, in our March discussions when we layout, not just how we did for the full year, but how we're thinking about some direction for 2014. So we're excited about our positioning. We're excited about our long-term investments and our position for the long term, and we appreciate your interest in Zumiez. Thanks, everybody.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.